Operator: Good day and welcome to the Newtek Business Services second quarter 2008 earnings results conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Chairman of the Board, Mr. Barry Sloane. Please go ahead, sir.
Barry Sloane: Thank you. Good afternoon, everybody. My name is Barry Sloane; I am CEO, Chairman of the Board. I also have with me today Seth Cohen, our Chief Financial Officer, who I will ask to read the Safe Harbor statement.
Seth Cohen: The statements in the slide presentation, including statements regarding anticipated future financial performance, Newtek's beliefs, expectations, intentions, or strategies for the future may be forward-looking statements under the Private Securities Litigation Reform Act of 1995. All forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from the plans, intentions, and expectations reflected in or suggested by the forward-looking statements. Such risks and uncertainties include, among others, intensified competition; operating problems and their impact on revenues and profit margins; anticipated future business strategies and financial performance; anticipated future number of customers, business prospects, legislative developments and similar matters. Risk factors, cautionary statements and other conditions, which could cause Newtek's actual results to differ from management's current expectations, are contained in Newtek's filings with the Securities and Exchange Commission and available through www.sec.gov. Also, we need to point out that our Capcos operate under a different set of rules in each of the eight jurisdictions and that these place varying requirements on the structure of our investments. In some cases, particularly in Louisiana and New York, we don't control the equity or management of a qualified business, but that cannot always be presented orally or in written presentations.
Barry Sloane: Thank you, Seth. Regarding our conference call agenda today, we are going to go over a financial results snapshot. I might ask some of you to go to our newtekbusinessservices.com website, go to our Investor Relations section where this PowerPoint presentation is on display, and you will be able to also see future guidance and projections that we have for each of the business lines. Today we'll also be talking about the momentum, which is continuing in our electronic payments processing segment, various Web hosting initiatives, small business finance initiatives, cost reduction measures, industry comparison, financial review given by Seth Cohen and a 2008 further guidance outlook. In the second quarter 2008, we met our previously stated 2008 guidance but actually came in better than our pretax net loss guidance. Our electronic payment processing segment came in at $15.9 million in revenues, up 22% over the second quarter of '07. Our Web hosting segment came in at $4.5 million of revenues, up 14% over Q2 of 2007, and our small business lending segment came in at $2.1 million, which was a decline of 36% over Q2 2007. The quarter came in at a pretax loss of $2.5 million. We actually had beaten previously-given loss guidance for the second quarter. I would like to also add that we have depreciation and amortization, a noncash expense, of $1.8 million in the second quarter of 2008. We had significant drag on our earnings by our lending segment, which affected Q2 2008 earnings. We ended the quarter with approximately $28 million in cash and cash equivalents and restricted cash, which equates to about $0.78 a share. Our electronic payment processing segment continued with very positive momentum. Revenue up 22%, EBITDA margins at 10.8% for the second quarter, which is consistent with the first quarter margins. Fortunately, despite the fact that it's an extremely competitive client environment, we have not experienced increased merchant attrition. Merchant attrition has been very light given challenging market conditions. In a market such as we have, many merchants come in and want to have their statements rechalked [ph] and recalculated. We have done very well keeping our merchants on, keeping them happy, and really have experienced very little attrition. The EPP business is a cash flow positive business. We anticipate in 2008 that will generate $6.9 million to $7.2 million of EBITDA, which is a slight increase in our guidance for this particular segment. We get a lot of operating leverage out of the electronic payment processing space. We have a significant potential to increase our market share, and I will also add that the EPP segment does not have any debt. In the Web hosting segment, Q2 2008, our Web hosting revenues came in up 14% over the same quarter in 2007 – also a very challenging customer environment. The trends in the Web hosting segment are business clients looking at using smaller plans rather than bigger plans, they tend to downsize at points in time, and we also have an extremely competitive environment with many of our competitors offering various different specials and cost-cutting initiatives. We are continuing to invest in our Web hosting segment to support future growth, we are evaluating our expenditures in the marketing area looking at what particular initiatives are more productive, whether it is key words or growing our own institutional sales force individually, which we are in the process of doing. We currently have a lot of excess capacity in our NOC facility where it's 50% real estate capacity there, and we are going to aggressively begin to launch a wholesale outreach program to Web developers in the third quarter of 2008. For the year 2008, our EBITDA forecast for the Web hosting space was about $6.1 million to $6.3 million. We have slightly reduced our previous given guidance of $6.2 million to $6.4 million. Our Web hosting segment also currently has no debt on it. Our primary thrust in this market is to market our product to IT partners and Web developers, who then go out and resell it to other individual customers. Our third important segment under the Newtek umbrella is our Small Business Finance segment. Our Q2 2008 revenue declined by 36% to $2.1 million, that's versus the same quarter last year. Some of the reasons for this decline -- number one, we had price compression in the market. In the second quarter of 2008, the average premium that we sold, our government-guaranteed pieces, was 7.63% versus an average of 9.83% only a year ago. This is a function of the fact that various capital assets that are being sold in the market have lower prices, even in the case of our government guaranteed loan participations. On a positive note, our loan fundings have increased significantly over the first quarter. We closed approximately $16 million of loans in Q2 2008, that's an increase from $3.4 million in Q1 2008. And revenue also improved by 11.5% sequentially over Q1 2008. I think, importantly, the pretax loss that we incurred in the first quarter of this year has narrowed considerably in the second quarter of this year. We do see, however, a change in lending guidance for the second half of this year, which we will write down to reflect uncertain market conditions. Some of our concerns in this particular space obviously is a little bit more difficult to make loans to good credit despite the fact that we have made good advances in the second quarter over the first. Our other concerns relate to collateral asset valuations as well as time to liquidate collateral. As we all know, there is tremendous pressure in the collateralized residential market for residential real estate. So far, the commercial segment has held up quite nicely, but we are beginning to have concerns and therefore have reflected higher loan loss reserves going forward, to forecast what we think might be a little bit more difficult recoveries on loans that go into default. In our small business finance segment, we announced at the beginning of the year we're reevaluating our primary loan origination sources. We actually had some good success. We had a pretty good second quarter, vis-a-vis the first. We've added some significant SB lending experience and SBA servicing personnel in house, and we have announced that we have been actively bidding on sub and non-performing loan portfolios. We do anticipate success in this area. Our small business finance business, we believe, is well positioned to take advantage of a vacuum in lending. We think our primary issue in this area really relates to economies of scale and being able to put on more high-quality loans, more high-quality servicing and really lever our operating base. Unfortunately, we had forecasted that we would have a USDA lending license by the second quarter of this year. That has not come to fruition. We are still caught up in a bit of the bureaucracy of the USDA, which would help us with originating significantly larger loans; increase our gain on sale. We hope that we will be successful throughout the course of this year, but we basically remove any USDA loan gains on securitization and gains on sale from the government pieces from our guidance. That's another reason why we have revised our small business lending guidance downward. Another important factor that we've experienced in the second quarter and will continue to work on, going forward, is cost reduction measures. We significantly reduced expenses at the holding company and various segment levels. We discontinued three service lines, and also reduced our headcount associated with those lines. These cost reductions at this moment are expected to generate a minimum of $2 million of cash savings in full calendar year of 2009. We also plan to continue to review other segments and to recognize additional cost reductions throughout the remainder of 2008 and 2009. We do believe that the current cost savings that we have achieved in 2009 are just the beginning and we do believe that we can reduce costs further without reducing the growth that we're having in our successful businesses but really spend more effort on – and focus on things that are working exceptionally well for Newtek Business Services. We thought it might be relevant to talk about what I guess what I'll call ‘industry comparisons.’ Recently, there has been a few public companies in the market that do similar things to what we do, both in the electronic payment processing space and in the Web hosting space. In the EPP space, on December 19, 2007, Intuit signed an agreement to purchase a company called ECHO, which is also in the EPP space. As you can see, the revenues that ECHO produced and also produced a pretax net loss, the company sold an exceptional multiple in revenue and, by the way, I think you could see these types of multiples in other public comparisons as well. We welcome listeners and investors to prospectively look at some of the business units that we have without that debt load that, if they sold at those multiples, might attract good prices in the market. This is not to say these are for sale, because they're not, but basically we've well positioned ourselves in growing businesses that are extremely attractive in the marketplace that have great enterprise value. Let's take a look at the Web hosting industry comparisons. A company, Hostopia, recently sold. Another company, Deluxe Corp, that's actually in the small and medium-size business market selling supplies, announced it signed a definitive agreement to acquire Hostopia for $121.7 million. A significant multiple of revenue paid for that. I think we have a very good comparison relative to pretax net income, and, once again, I think these types of valuations do give a feel and a sense for the enterprise value in some of our divisions. With that, I'd like to turn the presentation over to Seth Cohen.
Seth Cohen: Thank you, Barry. In the second quarter of 2008, we recorded a loss before benefit for income taxes and discontinued operations of $2.5 million. This compared with a loss before benefits or income taxes and discontinued operations of $2.8 million one year ago. It is important to note that the second quarter 2008 loss is not unexpected and was better than previously stated guidance. Net loss was $2 million or a $0.06 per share on the second quarter of 2008, compared to a net loss of $2.4 million or $0.07 per share in the second quarter of 2007. Revenue increased by $1.2 million, or 5.2% to $24.6 million in the second quarter compared to $23.4 million one year ago. This is primarily attributable to the growth in our electronic payment processing and Web hosting segments. I would now like to review the performance by segments. If you could turn your attention to slide 14 in the PowerPoint presentation, you will see the comparison of second quarter 2008 versus our results in the second quarter of 2007. Electronic payment processing segment revenue increased by $2.9 million or 22%, to $15.9 million in the second quarter of 2008. The revenue increase is predominantly due to organic revenue growth of 17% because the result of both an increase in the average number of active processing merchants and an increase in the average monthly processing volume per merchant. Income before taxes increased 23% to $1.2 million over the second quarter of 2007, and our margins remain constant over the same time period. Our Web hosting segment revenue increased by $550,000 or 14% in the second quarter of 2008, to $4.5 million, due to do the organic growth of hosted sites. In the second quarter of 2008, we increased our average number of monthly websites by 11% over the same period last year. We saw a decrease in income before taxes of $167,000 to $737,000 in the Web hosting segment in the second quarter of 2008 compared to the second quarter of 2007. This is primarily due to rent and electricity expenses for the new data center, the effect of which will be mitigated during the course of the year as more capacity is utilized as we continue to grow. Small business finance segment revenue for the second quarter of 2008 decreased by $1.2 million, or 36% to $2.1 million compared to the second quarter of 2007. This is primarily a result of a decrease in premium income from 9.83% in the second quarter of 2007 to 7.63% in the second quarter of 2008. Should the pricing remain at this level or decline, it will continue to adversely affect revenues and therefore the segment's performance in the future. In the second quarter of 2008, we sold 22 guaranteed portions of loans aggregating approximately $7.3 million compared to 39 guaranteed portions of loans aggregating $7.1 million in the second quarter of 2007. Important to note, while the lending segment adversely impacted overall earnings for the quarter, we did experience improvements in both our revenue and pretax net loss over the first quarter of 2008. We closed approximately $16 million of loans in the second quarter of 2008, an increase from $3.4 million in loans in the first quarter of 2008 and up from $10.5 million of loans in the second quarter of 2007. However, due to uncertain market conditions, higher expected provision for loan losses, slower-than-expected growth in our lending efforts, and the previously described delay in the receipt of our USDA lending license, we have adjusted our guidance in the small business finance segment down to a now-expected pretax loss of $800,000 to $600,000 in the third quarter of 2008 from a $100,000 loss to $100,000 gain that we had previously forecasted. We have also reduced our guidance for the segment for the fourth quarter of 2008 to a $500,000 to $300,000 pretax loss from a $400,000 to $600,000 gain. Consequently, we have changed our overall consolidated pretax net loss guidance for the year to a $12.1 million to $10.7 million loss from a $12.0 million to $9.6 million loss. The adjusted guidance can be found on slides 18 and 19 of this presentation. In the second quarter of 2008, revenue on the Capco segment decreased by $118,000, or 7% over the second quarter of 2007. The pretax loss decreased to $2.7 million, or 18% – reflecting an 18% reduction compared to the $3.3 million loss in the second quarter of 2007. For the second quarter of 2008, revenue in the all other segment decreased by $921,000, or 59%, compared with the second quarter of 2007. This is primarily due to reduction in other income due to the recognition in 2007 of a gain on sale of an investment in a qualified business of $907,000, which did not occur – or a similar event did not occur in 2008. In the second quarter of 2008, corporate activities, which generates revenue primarily from management fees from the Capco segment recorded revenue of $2.5 million, a 125% increase from one year ago. This increase is primarily due to the recovery of management fees from one Capco, totaling approximately $1.5 million in the second quarter of 2008. Management fees are expected to decline in the future as Capcos mature and utilize their cash. This segment lost $487,000, which compared to a loss of $1.9 million in the second quarter of 2007. I would now like to turn this back to Barry.
Barry Sloane: Thank you, Seth. I think, just going forward to point out our 2008 segment guidance, which you can find on our Investor Relations sections of our website, you know, as we're looking at our business model, going forward, we've got the electronic payment processing business guiding towards $6.9 million to $7.2 million of EBITDA, all without any debt. We've got the Web hosting segment guiding toward $6.1 million to $6.3 million of EBITDA with no debt. The small business finance business should be looked at, because it actually does pay interest on its warehouse borrowing lines, but on an EBITDA basis, it's looking to be negative $300,000 to $200,000 and basically, going forward, we anticipate revenues on a consolidated basis of $100 million on the high end full year to about $102 million. It should be 100 on the low end to $102 million on the high end. So we're looking forward to completing a very successful year, it's a challenging year. We are having issues with the lending business. That's clearly not uncommon for those that are in the lending space today. We think we are faring much better than others, but we are looking forward to greater originations and to be able to put on enough business to cover our operating overhead and leverage in that particular space. With that, I would now like to turn the call back to the operator to see if we have any questions.
Operator: Thank you. We will take our first question from Evan Greenberg with Meadowbrook Capital Management.
Evan Greenberg – Meadowbrook Capital Management: I'm worried, I'm worried. A couple of questions, how much of the cash is restricted right now? Has that restriction been coming off?
Seth Cohen: The total amount of restricted cash – hold on – we have total cash and cash equivalents and restricted cash of – the number we gave was about $28 million; $11 million is restricted cash; $16.946 million is cash and cash equivalents.
Evan Greenberg – Meadowbrook Capital Management: How much of the restricted do you think is in the Capco?
Seth Cohen: About $10.5 million is in the Capco.
Evan Greenberg – Meadowbrook Capital Management: And so cash that's in the Capco does come up through management fees?
Barry Sloane: Right.
Seth Cohen: Cash and (inaudible) investments that –
Evan Greenberg – Meadowbrook Capital Management: Right, okay. And could you talk about – I want to talk about the hosting business a little bit – can you explain what wholesale outreach just a little bit?
Barry Sloane: Basically, Evan, we – if you look at the hosting space, which is pretty fragmented, entities like Go Daddy will market themselves by advertising on the Super Bowl, buying keywords or maybe advertising in a variety of different trade publications or cable TV. Our primary strategy has been to really work the Web developers and IT professionals in the market today – primarily Web developers that have an expertise using Microsoft-type products or Microsoft-type software. Historically, we have not done any form of an outreach to them through telecommunications. We have offered them various types of specials, but we're going to aggressively go after that marketplace by offering them various types of promotions, affinity relationships, giving them our other services to resell to their customers. It's a valuable customer base, and we believe that a good way to grow and expand ourselves cost effectively is to work with those resellers and developers, and we have recently gone from a dedicated sales force of two to four people – we've increased that to about 10 people. And that's going to be aggressively rolled out beginning in the fourth quarter, late in the third quarter of this year.
Evan Greenberg – Meadowbrook Capital Management: Is that the largest reason why EBITDA growth, while revenue growth has been strong, EBITDA growth really hasn't been that great in that area because there has been a lot of reinvestment into the company, and it's not being recognized?
Barry Sloane: The answer is yes, but it wouldn't be from that type of activity. If you look at some of these comparisons, particularly over the first six months, we moved from a real estate location, so we had an increase in real estate, we had an increase in electricity. There were certain licensing fees from Microsoft that increased. So we're hopeful that, going forward, we do have the ability to get a better margin expansion from an EBITDA perspective. But we talked about our NOC center being at 50% of real estate capacity, so that kind of gives you an idea that hopefully, as we put more revenues on, while we've got great margins now, we've had better margins in the past, and we want to get back up there.
Evan Greenberg – Meadowbrook Capital Management: I look at this Hostopia acquisition – this is the way – most Web hosting businesses have EBITDA margins that aren’t even as good as Hostopia's – CrystalTech, Newtek's Web hosting business, the EBITDA margins are twice of what Hostopia's are, probably, somewhere in that range. The pretax earnings margin is twice what Hostopia's is. The valuation of the two entities, the Web hosting – and you know where I'm going with this question, I'm leading the witness here – and the two main businesses and the payment processing businesses are reflecting almost a negative stock valuation, where if you broke those two pieces off, they would be worth significant less. I am sure you were probably surprised by the price that Hostopia received, but the valuations are really dwarfed. If they were two independently run companies, you'd probably see the pieces of Newtek trading at around – at least double what the stock is right now. Is there any way to possibly – other than you explaining it here, you don't want to sit there and say, "Okay, this is what our breakup value is, you want to talk about the whole company.” But what can we expect from Newtek to explain this any further than we already have?
Barry Sloane: Well, you know, Evan, this has sort of been our age-old problem. Something a little bit like Rodney Dangerfield in this particular area. The valuations that these companies go at are driven somewhat by the financial aspects of what they do, but based upon the fact that they are able to acquire small and medium-size business customers, because Intuit bought them for the combination to grow their presence with respect to QuickBooks software and payments, because you put these things together, right? And Hostopia was acquired by Deluxe, and I can't tell you exactly what Deluxe does, but I believe they distribute supplies to small to medium-size businesses. So they are looking at the ability to communicate with customers in the small to medium-size business space and really to become a distribution channel.
Evan Greenberg – Meadowbrook Capital Management: Did you see Hostopia in the market in terms of competition? Were they somebody you regularly would come up against in terms of (inaudible) customers?
Barry Sloane: No. And the Web hosting space is extremely fragmented. There is no one that's got a monstrous amount of market share.
Evan Greenberg – Meadowbrook Capital Management: Right.
Barry Sloane: So – no, we don't really run across them too often.
Evan Greenberg – Meadowbrook Capital Management: All right, I'll let other people ask questions, I have dominated enough.
Barry Sloane: Evan, thank you. Appreciate it.
Operator: We will take our next question from Stephen Silk with C. Silk & Sons.
Stephen Silk – C. Silk & Sons: Good afternoon. Actually, I had some questions along the same lines, that the value of those independent units, when you show the value that was put on the other two, I think each of those units, as a whole, would probably dwarf your market capitalization right now. And what you just explained, Barry, is that you have other people who are buying them for the services that they provide and then the ability to integrate, like, Intuit's offering or Deluxe's offering, which is something that we've always talked about in the past to have you – you have 90,000 customers to be able to offer them more. So is there a line in the sand when you say, you know what? We're not getting the value that somebody else might put on these units that are doing well, and the way that Newtek shareholders will enhance their value is maybe the sale of those units?
Barry Sloane: Well, you know, Steve, I think that – to be frank with you, I just want to clarify one thing. I think that was the question or the comment about valuation, not myself. But I'll leave that up to you guys in the audience.
Stephen Silk – C. Silk & Sons: You had brought up in the slide presentation what somebody else had paid for a multiple of another company that you could correlate the similarities to what one of your divisions are. That's how I came up with that.
Barry Sloane: And I appreciate that, and that's clearly what the slide does show – that there are companies in this space that do similar things to what we do that trade at pretty good prices because they value what they do on a core basis but also in conjunction with being able to reach the customer in combined service offerings. I think, Steve, we are starting to see some effects of cross-selling and cross-marketing. We have a variety of different initiatives. I think you might see that in the near future in terms of press releases regarding various different types of product launches. We've had pretty good success this year in a loan/merchant services business called Merchant Cash Advance, and we've been actually doing a lot of that type of product this year. I think that what I'd focus on, for the most part, is increasing enterprise value of the company, making sure that every day we come in and grow the business. Evan made it a point to say, "Gee," you know, "is there anything that you can do to get stock investors to come and follow along?" You know, I was hopeful that this particular year, we’d get more appreciation of what we do, but unfortunately you've got tremendous amount of headwinds in the micro cap stock market, and it's difficult to get investors' attention, so we currently are fighting that. I also think that we're somewhat fighting the drag of being in the lending business, and people might look at us as a financial services company when, in fact, we view ourselves as a business services company, primarily over the financial services component. We are sensitive to the stock price not performing as well as people like yourself and Evan think it should, and we're constantly evaluating that and having discussions with the Board on that basis.
Stephen Silk – C. Silk & Sons: The numbers that you put out, Barry, are they GAAP or non-GAAP?
Barry Sloane: All of our numbers are GAAP with the exception of – when we talk about EBITDA, obviously, that's a non-GAAP discussion, but we fully explained that both in these PowerPoint presentations. There's a whole table explaining our EBITDA calculations and, in our Ks and Qs, but everything we do is Generally Accepted Accounting Principles.
Stephen Silk – C. Silk & Sons: The reason I was asking, you made a point to say that $1.8 million of your expenses was depreciation and amortization, but these are GAAP numbers. What would the number be for a stock-based compensation or other noncash expenses?
Barry Sloane: Well, we point out that of the loss in this quarter, $1.8 million was for depreciation and amortization. So for those people that are tracking cash relative to – are we generating cash? Are we burning cash? Obviously, you could look at an estimated loss of about $10 million for the year and say, "Gee, these guys are losing $10 million of cash." That's not the case, and that's because of a significant depreciation and amortization number that we're experiencing.
Stephen Silk – C. Silk & Sons: Were there some stock-based compensation expenses in the quarter?
Barry Sloane: Was there stock-based compensation this quarter?
Seth Cohen: I'll have to take a look.
Barry Sloane: I think there was. I think the answer is yes. Hang on.
Stephen Silk – C. Silk & Sons: Well, while you're looking, let me ask this next question – so the cash – both the cash and the restricted cash is down about $10 million from the beginning of the year. Now, you would purchase some stock back – how much cash did you use to repurchase stock, and where do we start seeing, perhaps, cash leveling out and you being able to add cash?
Barry Sloane: On your other question, for the quarter we had about a $450,000 expense for stock-based compensation.
Stephen Silk – C. Silk & Sons: Okay.
Seth Cohen: That's treasury repurchases.
Barry Sloane: Oh, treasury repurchases, okay.
Seth Cohen: And I'm looking at the stock-based compensation right now.
Barry Sloane: So the buyback, Steve, was $450,000.
Stephen Silk – C. Silk & Sons: So how can we look at the cash and say that perhaps leveling off and getting to the point where you're generating some cash even though you'll have reported losses?
Barry Sloane: If you go back through that analysis, and I might punt that one to Seth as well – a lot of that – some of that is what I'll call ‘true operating burn’ – maybe $2 million to $3 million. Some of that is repayment of debt, which is gone forever at this point in time. We had some premium financed debt based on the legacy capital business. I think there's about a $5.7 million broker receivable –
Seth Cohen: Right.
Barry Sloane: Which is basically SBA loans that were held on the books that didn't settle by the end of the quarter.
Stephen Silk – C. Silk & Sons: So recycled back into cash, so the situation is a little bit better than it appears?
Barry Sloane: Correct.
Stephen Silk – C. Silk & Sons: Okay. On the assets of the SBA loans held for investment, are those kind of like offset by the notes payable, which would have been drawn from your lines of credit for lending purposes?
Barry Sloane: Yes.
Stephen Silk – C. Silk & Sons: So those are offsets, pretty much.
Barry Sloane: They are offsets, and you can see there's a pretty significant differential between the two, which is our equity in the business.
Stephen Silk – C. Silk & Sons: Okay. And then the SBA loans held for investment – are those the full loans or – with the 75% guaranteed, or is that – some of the guarantees have been sold, and so there's more risk for the shareholders – or on the balance sheet than what appear?
Seth Cohen: SBA loans held for sale – it was SBA loans held for investments?
Barry Sloane: Held for investment – those are the uninsureds.
Seth Cohen: Those are the uninsureds, and the ones held for sale, the guaranteed portions of the loan, held for investment are the uninsureds. The six-month stock-comp expense is $165,000.
Stephen Silk – C. Silk & Sons: Okay, so about $80,000 a quarter. I think that's all I have right now. Good luck going forward there.
Operator: (Operator instructions) And with no other questions in the queue, I'd like to turn the conference back over to Mr. Sloane for any closing or additional remarks.
Barry Sloane: Thank you, operator. I really appreciate the attendance today and the questions and look forward to speaking to you all and addressing you on the third quarter call. Have a nice day.
Operator: That does conclude today's teleconference. Thank you for your participation. You may now disconnect your lines.